Operator: Welcome to ITT Corporation’s fourth quarter 2009 investor review and earnings conference call. Today’s call is being recorded and will be available for replay beginning at 1:00 pm Eastern Standard Time. The dial-in number is 800-642-1687, and enter pin number 50323875. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. (Operator Instructions) It is now my pleasure to turn the floor over to Tom Scalera, Director of ITT Investor Relations. Tom, you may begin.
Tom Scalera: Thank you, [Russ]. Good morning and welcome to ITT’s fourth quarter 2009 investor review. Presenting this morning are Chairman and CEO, Steve Loranger; and Chief Financial Officer, Denise Ramos. I’d like to highlight that this morning’s presentation, press release, and reconciliation of GAAP and non-GAAP financial measures can be found on our website at www.itt.com/ir. As always please note that any remarks we may make about future expectations, plans and prospects, as well as other circumstances set out in our Safe Harbor Statement constitute forward-looking statements for purposes of the Safe Harbor Provision. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in our fourth quarter of 2009 earnings press release and our filings with the SEC. Now let me turn things over to Steve to begin the call.
Steve Loranger: Good morning and thank you all for joining us today. 2009 was a year of triumph for ITT. Into that extend for the hundreds of ITT employees, who regularly join us for this call, I want to personally thank all of you and your teams for an exceptional performance and contribution in 2009. This was a year that our leadership and our 40,000 team members were challenged with volatile uncertainty, a year where swift decision were required in the absence of clarity, and a year where our customers were equally challenged and we’re not able to predict even what their needs were. Given this situation, ITT employee chose to win, to steadfastly advance our strategy, to continue to advance in our customers’ vital growth area, and to invest in our own contribution to make the world better in safety, security, vitality, and in corporate citizenship. This unwavering commitment to our future was not without a price. It was a price we willingly paid to enable ITT to now take advantage of our current opportunities. Winning in this new economy meant that we had not only be steady in our strategic investments, but to ensure that our future viability was sound with exceptional execution in overdriving cost reductions essentially establishing new breakeven point for the company and by preserving a liquidity and protecting our balance sheet. This wasn’t easy, 2009 was strategic for many of us, but we’re now very energized, because we did it all exceeding our own expectations. What was most remarkable to me was that after all of our employees’ hard work, we achieved our highest level of employee engagement scores ever with marked increases in the midst of our most challenging test. Not only did we finish with best in class business results, ITT was broadly recognized externally for our corporate responsibility and in the accolades. We were ranked No. 30 among the world’s best companies by Newsweek’s Green Ranking. We remained in the top 100 best corporate citizen by Corporate Responsibility magazine. We were listed among the top 50 for employee diversity with engineering and IT professionals. We remained the top 10 military employer and again on the Dow Jones Sustainability Index, honored by the National Committee of U.S./China Relations for our sustainability work in China and a final for the U.S. Chamber of Commerce Corporate Stewardship Awards. So, while this was our second best year ever in terms of business results, I believe it was our finest performance as a team. So I think it’s worth capturing and recognizing some of our employees’ terrific efforts in 2009, all of which has built on our strategic foundation and our speedy core as a company. In 2009, we focused on managing our supply chain, ensuring our cost inputs were synchronized with reductions in volume and we drove cycle time reductions to ensure that volatile changes in the flow of goods were matched with the appropriate levels of working capital. We performed extremely well operations. On top of that, we increased customer satisfaction, employee engagement as I mentioned and we accelerated our long term strategy. On customers, we aligned with customers need invested in new technologies and we consolidated Motion & Flow Control volume centers around some customer solutions. The proof of these advances was evident in our impressive list of significant contract wins in 2009. These included CREW 3.3 Jamming program, the Japanese weather satellite, and Indian Irrigation project, as well as a very large Brazilian Oil & Gas project. A new program on one of the world’s largest desalination plants in south. Ford Taurus, Escape & Focus components in global India and China. Our costs, we repositioned our cost structure. We achieved our original restructuring plan by investing in and executing a total of $178 million of restructuring actions since the fourth quarter of 2008 resulting in a very significant 10% reduction in our commercial business workforce. We reduced our overall manufacturing footprint by a million square feet we consolidated 10 locations and we grew our low cost region manufacturing sourcing presence by over 25% year-over-year. All of these decisions were difficult because of the impact on our employees, but they also we like these to position our company for the long term. We also implemented merit freezes and incentive fee reductions for all executives, while significantly reducing discretionary spending. During 2009, we dramatically improved our financial capacity, and despite a purposeful pause in acquisitions during 2009, today we have a robust pipeline of opportunities. On operations, we delivered over $500 million in gross productivity. The structural changes need to optimized our sourcing in EMEA Six Sigma initiatives will provide lasting benefits. We also streamlined the oversight of our Fluid and Motion segments and plan for similar activity revenue defense strategic realignment which we are executing now. True leadership emerges from true challenges, and our 2009 execution further underscores how strong our leaders are in ITT. We did not sit back and wait for the downturn to end. We proactively attacked with encourage and focus, and as a result we did exit a challenging 2009 as a much stronger company. So with progress we made in advancing our strategy will position us for continued strong growth in the future. Turning to slide four, with the 2009 end of our backs, let’s take a look at 2010 strategic priorities. Strategic execution differentiated organic growth and portfolio alignment. We’re confident that we will continue to leverage the ITT management system to deliver strong sales growth, improve productivity and solid free cash flow, our recent investments in operations excellence growth initiatives and defense transformation unit of our progress. So given the strength of our business, my primary focus in 2010 will be on portfolio actions around growing macro trends such as aging infrastructure, growing middle class, water needs, and global security. We will pursue fluid engagements, emerging market opportunities air traffic control and cyber security. We have the financial capacity to further this alignment and we have the leadership teams that know how they invest, integrate and deliver. On slide five our Defense segment has been positioned to support our customers emerging technology needs while also greatly enhancing our ability to stake out new markets. We believe that this change will also allow ITT to achieve greater operating efficiency and optimized our cost structure. Here is what the new segment means ITT defense and information solution looks like. Our electronic systems, communications systems and a portion of our intelligence and information work our units were combined into a $2.6 billion electronic systems division. This division will deliver advanced protection measures to help ITT customers defend their networks and disable networks. Improve leveraging and technology will significantly advance our position in key programs like JTRS, it’s volume down in Electronic Warfare include 3.3 development, where GME networking and communicating technologies were all integrated program elements. Our Space Systems and Night Vision units were combined to form Geospatial Systems. This new $1.2 billion value center will focus on next generation imaging and integrated space, Airborne, ground and soldier sensors in the broader coordinated systems. This combination will improve our competitiveness in the areas of digital enhancement, vision goggles, unmanned aerial vehicles and integrated Intelligence, Surveillance and Reconnaissance Solutions. Our advanced engineering and sciences and our systems units were combined with part of intelligence and information warfare to form information systems. This new $2.5 billion value center focus will be on network decision solutions by combining large systems operations with the sophisticated techniques and information integration and protection. This powerful combination will advance opportunity in the FAA next generation air traffic management solutions, NASA programs and National Intelligence Networks as well as Cyber Security. We are very, very pleased with this initiative to substantially reposition our definitive information solutions business for the future. Now Denise will review the business.
Denise Ramos: Thanks, Steve. Like Steve, I am very proud of our 2009 financial performances. Now let’s take a closer look at some of the specific results. In the fourth quarter and for the full year we delivered organic revenue performances that were down only 5% compared to the prior year. The varying nature of the demand for our products and our strong execution helped generate these solid results even in difficult market conditions. Our adjusted EPS in the fourth quarter of $0.97 was 18% higher than the prior year due to the benefits from our productivity initiatives, prior restructuring actions, and lower restructuring and realignment costs that more than offset lower volumes and cost increases. For the full year our adjusted EPS of $3.78 was down only 6% and let me make an observation here. If you adjust for what I will call non-operating items, both favorable and unfavorable, items such as FX, pension, restructuring, and acquisition, our 2009 operating EPS was down only 2% to 2008, not many peers were able to deliver that kind of performance in 2009. Compared to the increased guidance midpoint that we just provided you on the guidance call on December 18, our adjusted 2009 EPS was $0.05 stronger, and that was due to slightly improved operating performances and lower non-operating expenses partially offset by increased restructuring actions. Organic orders improved 3% compared to the prior year, and that was on strength of many of our key end markets while difficult compares remain in industrial, commercial, and aerospace. Sequential order growth of 25% reflected strength of defense and positive performance as the both Fluid and Motion. We are confident in our 2010 revenue forecast and our recent order trends and quoting activity is starting to pick up in some of the longer cycle businesses. So, not only did we deliver a best in class EPS performance in 2009, but we also greatly improved our financial position. Turn to slide seven. In 2009 we generated a record $1.1 billion in free cash flow excluding the after tax impact of a $100 million discretionary pension contribution that we made in the fourth quarter. This free cash flow performance was 22% better than the prior year and yet reflected a 146% conversion of continuing net income adjusted for non-cash special items. Our working capital is a percent of sales improved 70 basis points to 12.4%, and our net debt to net capital ratio declined from 27.9% at the beginning of the year to just 7% at the end of 2009. In addition, we have nearly exited the short term commercial paper market and we do have over $1.2 billion in cash. Now let’s turn to Fluid Technologies fourth quarter results at on slide eight. Fluid delivered a solid Q4 that was actually better than our internal expectations due to improved top line performances. The 13% organic revenue decline reflected continued strength in municipal markets that was offset by anticipated decline in industrial and commercial markets. Productivity gained momentum all year at fluid and has repeatedly helped mitigate lower volumes and cost increases. Organic orders in the quarter were down 2%, but they were ahead of expectations. Strong order activity was seen in the municipal treatment and transport, mining and oil and gas markets. The strength was more than offset by weaker global commercial and North American industrial orders. Sequential orders were slightly positive and leading indicators on industrial activities have turned more favorable recently. For example, the sequential organic orders of industrial process increased 6% and the book-to-bill rate in the quarter was 1.03. Also in the quarter fluid won significant $20 million oil and gas conference in Brazil and a $7 million desalination project in Saudi Arabia. In all of these segments our competitive advantages drove market share gain during the downturn and let’s keep in mind that the share gains will be produced on our much more efficient manufacturing platform going forward. Operating margins improved 610 basis points in total and 230 basis points operationally compared to the prior year. This performance does reflect both the level of restructuring costs in the quarter and the aggregate benefits of two years of restructuring and realignment activities going back to 2008 that now total $84 million. Organic orders improved 7% with big gains at Flow Control and Motion technologies. When we are taking share in food and beverage markets and we are winning significant global platforms in auto and rail and we are seeing some general signs of stability in the connectors and general industrial markets. We do expect that aerospace will remain under pressure, but on the whole Motion and Flow Control has clearly emerged from this past downturn as a leaner, more competitively focused collection of growing businesses. Let’s turn to Defense on slide 10. The slight organic revenue decline in the quarter was consistent with our latest expectations. Service growth was strong with increased activity on a number of different contracts including natural Air Force base and the FAA next generation air traffic control program ADFP. International night vision grew significantly in the fourth quarter, and we expect continued strength into 2010. Increases in airborne electronic warfare were partially offset by lower ground electronic warfare and SINCGARS volumes were down versus a strong prior year. Organic order growth of 5% brought our year end defense backlog to $5.2 billion, generally flat to prior year levels with little change in the mix of products and services. The order growth reflected anticipated replenishment of service contract funding and a significant Japanese weather satellite order that more than offset lower ground electronic warfare orders. Productivity continued to be strong with 120 basis points of operational improvement in the quarter. For this strong performance push the full year defense margin up to a record 12.3%. Our recently announced defense strategic realignment coupled with the continuation of our productivity actions will nicely benefit long term defense segment margins. Now let’s turn to slide 11 and talk about the 2010 guidance. For our strong Q4 performance has set up very nicely from moving into 2010. Further stabilization in key end markets plus expanded productivity actions and increased confidence in our execution of these actions have contributed to our decisions to increase our 2010 EPS guidance by $0.05 to $3.90 to $4.10. Let me point out that our new 2010 EPS range is already back in line with our pre-economic downturn 2008 adjusted EPS, a remarkable accomplishment in a relatively short period of time. Fundamentally, our revenue guidance remains unchanged from the December outlook calls. We are still projecting organic revenue growth in the 2% range, but future indicators have improved since December increasing our overall confidence level. Regarding the key assumptions from the outlook call, 2010 pension expense will be a little higher due to a 6% discount rate for our U.S. salary plan, but this expense increase will be offset by a lower tax rate in the 30% to 30.5% range. The Strategic Defense Realignment we announced on January 5 will cause our total restructuring expense to increase to $55 million to $65 million, but keep in mind, that this increased expense versus prior guidance is expected to be fully offset in 2010 by increased restructuring savings. For the first quarter of 2010, we are projecting EPS in the $0.73 to $0.75 range. At the midpoint this represents a 3% improvement compared to the prior year. The first quarter 2010 results include higher restructuring expenses associated with the defense realignment. Despite improvements in both commercial segments, first quarter revenues are expected to be down 1%, but that’s due to a 7% decline in defense that reflects timing of radio and GME shipments. Keep in mind, that we expect full year 2010 defense revenue to increase 3% to 4%, as incremental service contracts in international products activities are projected for the second half of 2010. So now with that overview let me turn things over to Tom to begin Q-and-A.
Tom Scalera: Russ, we are now ready to start the Q-and-A session.
Operator: (Operator Instructions) Your first question comes from John Inch - Merrill Lynch.
John Inch - Merrill Lynch: I’m curious, did your commercial orders strengthen sequentially in the fourth quarter kind of on a month by month basis and has this actually continued in January?
Denise Ramos: Actually, when you look at the orders, there is some seasonality when you look at it on a month to month basis, so it’s really hard to talk about that even though when you look at Fluid Technology the month of December was higher than the month of November, but again you have to be careful, because of seasonality. When I look at it on a sequential basis quarter-to-quarter, my Fluid Technology is up 1%, Motion and Flow is up 2%. What’s interesting when you look and you delve into the various end markets, some of the end markets that we have had challenges with in terms of IP and RCW and our connectors business in Motion and Flow, we actually saw decent sequential orders growth, so that was encouraging for us.
John Inch - Merrill Lynch: Denise, what’s the pricing look like on the new orders and activity that you’re receiving today? How competitive is this stuff and do you think your profitability holds based on what you got in backlog?
Denise Ramos: When we look at pricing, we think about pricing, is equal. There was very minimal price impact that we saw and then when we think about 2010, and we think about pricing in our commercial segment, a little bit of pricing impact, a little on the IP side we’ve seen on some project business, but overall there is really nothing that’s going to be largely significant on the commercial side of our business.
Steve Loranger: John, I just want to add that given that, we did a program into our plan to stop some pricing pressure with respect to that so hopefully we’ll show it up throughout the year.
John Inch - Merrill Lynch: Can you remind us, I mean, some companies have talked about a favorable spread benefit, right, diminishing from 2009 to 2010. Did you guys have a favorable spread benefit in terms of your raw material costs? Is that presenting a bit of a headwind in 2009, or 2010 is not that significant?
Denise Ramos: When I look at 2010, John, and look at a full year versus 2009, we are seeing and projecting cost increases on the raw material side about 3.5% to 4.5%, and then you’re going to have general inflation on your other costs above that. When I compare that to what we’re achieving on our supply chain initiatives and some of the productivity actions that we have with that, we are more than offsetting that and we expect to more than offset that in 2010. So we should see some favorability associated with that, because of the strong productivity that we drive.
John Inch - Merrill Lynch: Maybe lastly, Steve, big picture question, would you ever consider selling pieces of your Defense business and post this reorganization would that make that a partial sale theoretically easier or theoretically more difficult?
Steve Loranger: Well, John, I think we look at our portfolio strategically in terms of our market positions and the attractiveness of markets. We actually have not looked specifically at the point that you’re making. What we want to do right now is get through the overall defense transformation and take the new leadership teams comprising sort of new more holistic strategy around those three platforms and ensure at that point that we’ve got the right combination of businesses, so we’ll review that from time to time and if something doesn’t fit, even our future strategy we certainly will communicate that but at this point in time we’re busy with the defense transformation and making a go out of it.
Operator: Your next question comes from Shannon O’Callaghan - Barclays.
Shannon O’Callaghan - Barclays: I don’t know if you went through this at the beginning. I got on a little late, but in terms of the defense reorg expenses and savings, you mentioned some pressure in the first quarter. Can you give us a feel of how those kind of flow out quarterly through the year and what kind of savings you’re expecting in ‘11 plus?
Denise Ramos: We’re detailing a lot of that right now. What we’ve got in our numbers here is we do know that the restructuring expense will be weighted into the first half of this year, so we will see it in Q1 and in Q2. The benefits associated with that will be more in the back half of the year, so when we looked and total for the full year when we announced the defense reorganization what we said is that the costs associated with restructuring will be offset by the savings that we’re expected to see in 2010. You’re going to see it sequence differently as you go throughout the quarters because where the expenses versus where the productivity is. In terms of the overall benefit that we’re going to see with that, we’re still detailing it, but we would expect that that will help us with the long term margin that we’re going to be forecasting rolling out into the future. So again we’re still detailing that out, but we would expect to see some positive flowing through to our margins.
Shannon O’Callaghan - Barclays: Okay and then the radio and Jammer timing you mentioned I mean that’s weak in 1Q what’s driving that and does it all come in 2Q or second half or how does it come out from there?
Denise Ramos: On a year-over-year basis we have strong delivery in the first quarter of ‘09 and again that has to do with just the requirements as, customer requirements associated with that in the surging at in Afghanistan, so you did see strong deliveries of CREW in Q1 of ‘09. Look at the on a quarterly flip for defense for this year we’re seeing more of our Jammer deliveries taking place in second quarter and third quarter and then through the rest of the year then we’re seeing in Q1. So, that is impacting defense in Q1.
Operator: Your next question comes from Jim Lucas - Janney Montgomery Scott.
Jim Lucas - Janney Montgomery Scott: First question, with regards to the restructuring savings carryover from 2009, how much did you book in ‘09 versus carrying over to 2010?
Denise Ramos: So let me say it this way in 2010 the carryover from the actions that we’re taking in 2009, the incremental benefit is about $40 to $45 million.
Jim Lucas - Janney Montgomery Scott: On the flip side, obviously residential stabilizing, commercial industrial still some pressure. Within the municipal you saw some good growth on the backlog. Are you beginning to see any orders flowing in from stimulus related funds?
Steve Loranger: Well, yes and they are minor in nature. We expect somewhere in the order of $20 million coming in from stimulus funds this year. We built that into our plan, so we are seeing it but for all reasons we discussed last year relatively slow and it’s been positive for us. We’re lot addition to play in the projects when we go, but it is not a significant amount for us.
Jim Lucas - Janney Montgomery Scott: Okay and finally with regards to the capital allocation strategy, for the last couple of quarters you highlighted air traffic control and cyber security as areas that you’re looking in addition to water that’s been out there for sometime where you’ve had a lot of resources committed. Within the air traffic and cyber, are there larger properties out there or more technology, smaller in size, and then absent the acquisition strategy, could you give us an update of where you stand with regards to your share repurchase program?
Steve Loranger: Okay, Jim, on the first question air traffic management as well as cyber are enormous global businesses today, so the answer is yes, with respect to acquisition opportunity. They do fall in a complete range of small technology niches to very, very large $1 billion plus networking solutions in data processing with just its companies, and the same is true for Cyber. So we do have a lot of acquisition opportunities there. To the point of your question, as far as our capital allocation goes we’re going to continue to drive the air traffic management Cyber and Fluid Technology adjacencies as our primary strategy. We have other activities around the rail and around aerospace and well other components of our business, but I think you’re correct by saying those three really form the basis of our near term focus. Having said that, in this environment as I mentioned, we do have a robust acquisition pipeline following the intention of pause that we put on it to preserve liquidity through the 2009 time period. So we’re not anticipating any change in our share buyback, which is to say that’s on pause. Right now we plan on deploying our cash responsibly, of course, with primarily in the acquisition area.
Operator: Your next question comes from Jeff Sprague - Citigroup.
Jeff Sprague - Citigroup: A couple of different topics to clean up a few things on my mind, Steve, first of all on productivity, obviously the $500 million, are a big number. Just wonder, if you could give us a little bit of insight other than kind of sense of head counted type things, but what you’ve done to kind of maybe change the culture, or drive the business differently? Is it supply chain? Is it sourcing? Are there things here that are durable that you think you can build upon from here?
Steve Loranger: Sure. I mentioned in my opening comments, that we paid a price for our performance and quite frankly that was one of them. We did in fact as a leadership team going after a lot higher levels of productivity than we had before. So it was a combination of events that we really went after and some of that was classic if you will in the sense that we were driving our traditional value based lean Six Sigma type of culture, but we took this opportunity to be much more substantial, which was a very significant challenge. It was well done by the team to actually close to just get after the physical closing of a number of facilities, the moving of our manufacturing footprint more aggressively low cost regions. We made spectacular progress last year in India, in China, in Poland, and in Czech Republic as well as in Mexico. So a lot of that was really an acceleration of low cost footprint. Munish Nanda and his team in operations achieved a remarkable increase in transitioning the global strategic sourcing to achieve our highest level of low cost region sourcing, which is another source of the material cost savings both in commodities and in finished goods, and I think as I mentioned I think we were in the 25% range. The cultural change was two parts, Jeff and we really adopted as a leadership team. What we wanted to do was get the leadership mindset changed around in this new economy, we’re going to have to retain in a sustaining wave go after higher levels of productivity as we lay off life. Knowing that there was going to be more maturity and top line coming out of this economic recession, we wanted to be able to index to premier earnings per share performance, which means we have to get more productivity. So we had embarked on looking at new areas. First of all, as part of our vision we have customers central in their view and what we mean by that is really taking all of our macro processes and driving structural productivity to streamline those macro customer processes, delivering order responsiveness, technology speed to marketing and so forth. Joe review his team was driving a very significant initiative called value based customer excellence. We have as you know, several hundred million dollars in an outstanding global foot print in terms of our selling and distribution capability primarily our commercial businesses and Joe and Collin and his team are really driving some contemporary processes in terms of technology and in terms of customer focus that will provide a whole other level of productivity. So those are just some of the examples, but clearly the leadership team mind shifts that that you identified, is all about going after very meaningful sustained productivity all the while knowing that’s ultimately going to create a competitive advantage and allow us to maintain pre year. So as far as I’m concerned, I’ve been saying for a long time that we have a lot of productivity opportunities in this company. They’re getting harder to get in the sense that we’ve got to focus on structural and macro process and that’s exactly what we’re doing.
Jeff Sprague - Citigroup: Kind of maybe along those lines as Denise indicated the restructuring cost and defense versus savings is a wash in ‘10, but should set you up for structural benefit beyond that, just stepping back from that from a little bit bigger picture, obviously the Defense margins are going to be mix related and we all going to have to try to figure that out on our own to some degree. I am kind of curious relative to your customer’s expectation about what a supplier should earn your confidence level to maintain defense margins kind of in the call low teens with the upside bias even?
Steve Loranger: So, Jeff, as Denise mentioned, this year is expenses matching benefit from the transformation. We’re going to see sustaining benefits. We’re still detailing it, but in the $80 million range, out years as a result of transformation. What we’re doing is, it just like we did on commercial, a lot of structural integration and leadership process improvement if I just mentioned, but having said that, the defense environment really in our view is not changing despite acquisition reform initiatives, and that environment is still going to need suppliers to earn the appropriate amount. Remember a lot of the cost plus business is cost negotiating profit levels on a cost justified basis so a lot of transparency in that and that trends to be lower operating margin. However, on the fixed price, free enterprise business management prevails in the defense business, and I think we’ll continue to see our ability to make margins in those businesses. So we’re going to see some definite operating margin benefit improvement as a result of these activities. That, however, will be impacted as Denise mentioned by pension. Now some of that pension is ultimately coming to over time, but quite frankly if it had not been for this pension, we would have seen a lot stronger margins in defense with 2010, but medium in the high 11s, the low teens, that’s exactly where we think we’ll be driving Dave and Steve committed to improve the business metrics.
Jeff Sprague - Citigroup: If I could speak one more in on deciles and I don’t know how you would scale those obviously it depends on the size and the plant and gallons of processing per day or hour, but when you look at kind of the ITT portfolio and maybe what I would call your natural entitlement in one of these plants, how would you say that the penetration rate is going there and has there been positive change in other words, higher penetration rate or lower penetration rate?
Steve Loranger: Jeff, I think that question deserves a lot longer discussion and we glad to go over that because is a lot of pieces to it. We play in deciles fairly prominently in terms of water transport pumps and water pressure boosters. We also have a lot of pretreatment capability with our rough filtration vehicle business and of course we also have reverse osmosis. In terms of our entitlement, I don’t know the numbers, but extremely strong pumps in rough filtration. Most of our reverse osmosis technology generally tends to be a smaller scale system. However, at this point we have proud of the fact that we are providing a wide range of all this technology on three of the five margins assuming in the world, so that’s not all I know right now, Jeff, and I will take your question and do more research and see if we can give you a better answer.
Operator: Your next question comes from Deane Dray - FBR capital markets.
Deane Dray - FBR Capital Markets: Would like to follow up where we left off there on Jeff’s question is, Steve, in your opening comments about portfolio alignment you did say that you would be interested in pursuing some adjacencies in fluid and as you just kind of recapped your positioning today in water. I think you still more of a pump centric company. You got technologies like UV and Ozone, but what do you consider to be the attractive adjacencies? Are they more geographic or sort of niche technologies like you have done with variable speed drives?
Steve Loranger: They’re both. If the world’s largest pump manufacturer we’re thrilled with the fact that 70% of the revenue opportunity in the world of water is around pumps, so let’s not forget that is a very, very valuable speed and continuing to expand our pump technology organically and did expand globally on intermediate basis. We are a broad supplier of other technology as you know, but specifically to answer your question there are three technologies that is we really think beyond pumps are the areas we want to drive. Analytical testing instrument of entering that leaning that some capability end throughout our business but if the business we like to grow it is obviously some opportunities there. The water is another area, again we have $700 million dewatering business vary for the most part in our www.franchaisee, and this is a growing valuable space which we can add onto both geographically and both of acquisitions. Finally in treatment the areas in treatment that we would like to grow in have to do with the membrane, ultra and micro filtration membrane participation and opportunities there. So those are the three areas. The global area just simply is emerging markets. Gretchen and her team have been aggressive in positioning our marketing and our manufacturing operational capabilities in these emerging markets buy small companies that represent footprints already is very, very attractive, and I’m pleased to say, in every dimension I just mentioned we have an active pipeline.
Deane Dray - FBR Capital Markets: Just to clarify, I don’t want to parse your words, but in the slide on Fluid Technology referred to continued municipal strength, and our sense is that municipal has been flat line at best, and so just give us a reference compared to what and what is the budget process now forgetting some of these stalled projects?
Steve Loranger: I think one piece is that a flat in the last couple of markets has been substantial strength. So to some extent we’ve been pleased with that market has held up as well as it has, and we I think in the landscape as you well know we’re going to continue to see concerns in project funding. We do think we will see a little bit more strength obviously in the bond market and in the infrastructure requirements as well as the sustainability requirement that are going to continue to make them a viable market. On a forward-looking basis, the growth is…
Denise Ramos:
,:
Operator: Your next question comes from Terry Darling - Goldman Sachs.
Terry Darling - Goldman Sachs: Steve, wondering if there are a lot of positives and negatives out of the budget news this week and obviously, you’re not sort of focusing on that, but I’m just wondering from a longer term perspective, if there was anything in there that made you more optimistic, or maybe more cautious about any of the programs that where some of the pieces of the puzzle may had moved there based on the news this week?
Steve Loranger: The quick answer to the most recently released presidential budget is that, we are extremely pleased with it. It does represent an upside to our thinking. We’re not totally surprised, because we do understand that the real nature of the defense requirements, but just for everyone’s background, if you’re not familiar, we were looking although at $660 billion fiscal year ‘10 budget. Even though the new administration said, they were not going to put in an additional FY10 supplemental, they did it anyway and upped it by $33 billion with the FY10 up over FY09. Even though the administration likewise said that, there was no way that they were going to support Defense budget increases and in fact they were really aggressive about seeing difference budget decreased in FY11, what President Obama came out with this week was yet another 2% increase with the top lineup now to a proposed $708 billion for the FY11. This was actually not surprising. In fact, I was able, fortunately two weeks ago suppose we need, personally with the Secretary of Defense Robert Gates, and he clearly articulated that it was his expectation, if this was the budget I was going to prevail simply because of the meetings, which you all know about in terms of force projection and vital recharge with our defense units. So I think, if you all know that story, I think what you’re seeing right now, is from a business base a positive affirmation for the administration that they also agree that we need to have very, very strong defense as part of our overall national agenda. Specifically, again hat we’ve seen in the GME arena, there are a number of things still being detailed, but with respect to down stream competition opportunities, we accrued two point series as well as potential competitions on existing vehicles, there was actually some very nice opportunities. There was a big opportunity for competition with Marine Corps and the JIBO, which is the IDD office, actually well over a billion dollar budget increase, so that all needs to be detailed, but it’s upside for our thinking. We saw a strong support with increase in the budget so that all leads to the DTO, but it’s an upside for ITT. We saw a strong support with an increase in vision budget and so that should enable some opportunities for us, and that seem to us relative small that is a validating as a place holder in there. The advanced actual communication budget was up in the 67% range. So you add all that up and again, the details need to be sorted out as this is just the President’s budget. There’s ongoing process to detail this, and we fundamentally think it was a positive for us. The other thing I wanted to mention on this was, our non-Defense, but the major initiative for us of course is the AVSB, next generation air traffic control technology for the FAA, and the FAA’s budget went up about 25% over a billion dollars in this area, underscoring the opportunity we’ve been working on with the next generation programs after AVSB, Datacom, SE2020 and so forth. So what that means is the administration is realized in a strong component a variety new economic efficiency is going to be bidding in a contemporary air traffic control system and we want to speed it up. So all-in-all, we see this as a slight positive for us.
Terry Darling - Goldman Sachs: I guess the translation, I’m wondering about I think you had said in December on a sort of very preliminary basis. You felt like, 2011 defense business could be I think the phrase you used was up slightly, but I don’t want to put words in your mouth. Obviously, with the 2011 budget indications and your commentary here sounds like maybe there’s some upside to that. I guess, within that context, though it sounds like, maybe some of the upside comes from the product side of the house, which I’m wondering as we go back to parse through all the mix issues doesn’t have some positive margin imply additions. How would you comment on those two thoughts?
Steve Loranger: You’re on the right path, and we’re nearly giving a long range Defense budget, that’s why I said, we were pleased and not surprised with this budget, because we had been planning for something like this. We also had been forecasting the fact that our Defense teams have consistently out performed the market, out performed the Defense budgets with terrific technology and some very good program management. When we gave you a slight up, what we were thinking at the time is, we were going to continue to expand some of these adjacencies we’ve been talking about like the air traffic management, like some of the NASA surveillance, like some of the international programs. So remember, compared to where we were say five years ago, when we were almost exclusively Department of Defense, we today have almost 25% of our Defense businesses in what you call non-DoD, but that’s the same as building, a $125 billion business outside of our core business. So this strategy, we’ve been talking about is working and we think that’s where some of our revenue share is going to come from. On the margin side, there’s going to be two forces at play. One is going to be the back that there’s going to be advanced competition from all defense contractors as you can expect, but we’re also going to get some benefits from this reorganization and so, hopefully that will enable us to shore up our margins to this process.
Terry Darling - Goldman Sachs: Just to make sure, I heard earlier your response to an earlier question, the carryover benefits in defense from the restructuring, $80 million, did I hear that right?
Steve Loranger: I think it was in that range. We were still detailing it, but if you take a look at the overall headcount reduction and you look at some of the structural work, it’s going to be in that range. That’s obviously a number of gross productivity, so we need to consider offsets in terms of mix and volume and programmatic that normally occur, but yes, we’re expecting to get substantial benefits from the reorganization of Defense.
Operator: Your next question comes from Nigel Coe - Deutsche Bank.
Nigel Coe - Deutsche Bank: I want to dig into the defense phasing this year. I think you commented that, defense organic was back down 7% 1Q. Can you talk about the first half second half phasing?
Denise Ramos :  Sure. What we’re expecting to see that we’re going to be more heavily weighted in the second half versus the first half. The key programs there would be some international sales, the SINCGARS and when we look at our Jamming platform and our CREW devices, we think that’s going to be in the back half of the year versus the first half of the year. So those are basically the two main factors that is drive the back half versus the first half. We also will see more service revenues in the back half of the year than we see in the first half of the year and part of that will be associated with long term.
Nigel Coe - Deutsche Bank:  On the mix between product and service first half and second half, it sounds like you’ve more basically in second half that seems SINCGARS and CREW also in the second half, too. How does the mix change over the course of the year?
Denise Ramos:  We might see more products in the back half of the year on a proportionate basis than we will in the first half of the year. We would expect to see margins improving as we go throughout the year in defense.
Nigel Coe - Deutsche Bank:  Then just a couple quick ones here, Fluid margins, I think when we add back restructuring, ticked down Q-on-Q and normally we see that picking up, which makes sense given the volume increase. Maybe it might be best, but is there anything from mix side or pricing side or you took by that?
Denise Ramos:  No. What you’re seeing there is we are making some incremental investments in Fluid in the fourth quarter. Steve talked about what we’re doing on the commercial excellence program that we have, and so we’ve costs associated with that that’s flowing through to Q4. We also have some incremental IT benefits and we’re investing some more in some new products. What you’re seeing is you’re seeing somewhat of an impact in Q4 and fluid margins for that.
Nigel Coe - Deutsche Bank:  How does that impact the Fluid margins going into 2010?
Denise Ramos:  A Fluid margin into 2010, what we’re expecting for Fluid margin is we are expecting to see a nice improvement in Fluid margins when is we look at 2010. Now, you have to be careful with the restructuring expenses and pension expenses. So when we look at, what I will call an operating performance for Fluid, we are expecting their margins to be up about 40 to 50 basis points year-over-year.
Nigel Coe - Deutsche Bank:  Then quick one on accounts receivable, great job on getting that balance down 3Q to 4Q, is that just good cash collections or is there anything discreet within that number this quarter?
Denise Ramos: Some of it is just the fact of what’s been happening from a revenue standpoint. But let me add that even more than that we drive really hard our working capital efficiencies in this company. We continue to migrate more of our receivables and our payables activity into shared services, and so that also helps us to be able to drive down those balances.
Operator:  Your final question comes from Mike Schneider - Baird.
Mike Schneider - Baird:  Wonder first if we can go back to the municipal comment that Deane asked about. You also call out that in the organic orders section for Fluid that there was strong municipal treatment in transport orders. Is that principally the diesel order and the mining order that you called out or is there something else driving that growth? Because at least a quarter into many of our channel checks and other public companies, there doesn’t seem to have be a distinct turn in any municipal orders yet, even on the stimulus related projects.
Denise Ramos:  Yes. I think that’s a fair statement.
Mike Schneider - Baird:  Where is the strength coming from then as you call on strong municipal treatment and transport?
Tom Scalera:  Mike, it is Tom Scalera. We have a number of large projects. We have also seen increases in China and other larger opportunities in our municipal business. Typically our municipal results tend to be more disbursed through our very large municipal customer base, numbering in the tens of thousands. So we have a very steady drumbeat of activity as you know, but we have recently seen an up tick in the treatment and transport opportunities in a larger size and are global in nature.
Mike Schneider - Baird:  The $20 million that you called out as this stimulus assumption for 2010, is that your orders and shipment presumption, I just focus on that because that number seems incredibly conservative, given that at a minimum there’s probably about a $500 million in water and wastewater pump orders that will come out of the stimulus package this year alone. Is it a case where you don’t expect to ship revenue this year and will realize significantly higher orders this year and ship it in 2011?
Steve Loranger: Mike, we understand your question and the appropriate number. I don’t think we would say that there’s a $500 million opportunity in pumps that nobody seen comparisons to do on that one, but this stimulus money has been very, very slow to come out and our teams in our business have continued to work it. We think it is the right number and if we can get more we certainly will.
Mike Schneider - Baird:  Just on some of these large projects that Tom alluded to. The pricing on those given the global excess capacity, could you just give us a sense of where pricing is and where you expect it to head at least this year on some of these largest water and wastewater projects?
Steve Loranger:  I don’t think we have an index on pricing because these projects have tended to be fairly unique. Right now, we are not seeing any specific trend in those pricing, although we certainly don’t expect a liberal pricing environment by any means. Let me just take this moment to wrap up with all of you. First of all, as I mentioned in my opening comments, it is an important component of our corporate citizenship strategy to make sure we give back to society in a meaningful way, and I want to give you an update on our efforts in Haiti. Our approach to the disaster response to worldwide multi-faceted encompasses not only direct financial support, but also the contribution of our talented staff, products and services in both water treatment and emergency communications. Within days of the earthquake, ITT employees were on the ground and providing emergency communication and disaster relief to Haiti. We shipped five portable water treatment units in reverses osmosis units that are going to supply enough water to support 200,000 people. ITT employees are also making a significant direct financial contribution to the movement and today ITT’s employee donations and ITT matching funds exceeded $430,000. I just highlight that these contributions as well as other ones related to ITT Watermark offered substantial benefit to society and makes us all feel proud about working here. I want to use this as an opportunity to say if this combination of who we are, our values based work environment and our business strategy that enable our continued success. This well balanced portfolio was the foundation of the results during 2009. We’re very proud of our teams around the globe for delivering on these commitments and it was highlighted during the call some very significant increases in cost side and cash size product dividend. We took important steps to position the company by advancing these productivity initiatives, and increasing our strategic investment and generating strong free cash flow. So we believe that it is our innovation and essential focus with our products and services that position us to continue to grow well in the future, certainly at or above the markets we serve. We are very confident in our growth outlook for 2010. We have acceptable visibility of orders in our core markets and we’re getting positive leading indicators in our later cycle businesses. More importantly, we think we have the right leaders, strategies and resources in place to generate continued premier performance. We’re confident in our ability to deliver 2010 as we’ve committed. I want to thank you all for joining us and we’re off to a good started for the year.
Operator:  Thank you. This concludes today’s ITT fourth quarter and fiscal year end 2009 earnings teleconference. Please disconnect your lines at this time and have a wonderful day.